Operator: Good day, ladies and gentlemen and welcome to the Iridium Communications Fourth Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to introduce your host for this conference call to Mr. Steve Kunszabo. You may begin, sir.
Steve E. Kunszabo: Good morning and thanks for joining us. I'd like to welcome you to our fourth quarter 2012 earnings call. Joining me on the call this morning, our CEO, Matt Desch; and our CFO, Tom Fitzpatrick. Today's call will begin with a discussion of our 2012 fourth quarter and full year results, followed by Q&A. I trust you've had an opportunity to review this morning's earnings release, which is available on the Investor Relations section of Iridium's website. Before I turn things over to Matt, I'd like to caution all participants that our call this morning may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are statements that are not historical fact and include statements about our future expectations, plans and prospects. Such forward-looking statements are based upon our current beliefs and expectations and are subject to risks, which could cause the actual results to differ from the forward-looking statements. Such risks are more fully discussed in our filings with the Securities and Exchange Commission. Our remarks today should be considered in light of such risks. Any forward-looking statements represent our views only as of today, and while we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our expectations or views change. During the call, we'll also be referring to certain non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles. Please refer to today's earnings release in the Investor Relations section of our website for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. With that, let me turn things over to Matt.
Matthew J. Desch: Thanks, Steve, and good morning, everyone. Thank you all for joining us. So I'm sure you noticed this morning, we reported fourth quarter numbers that fell a little short of our annual service revenue target, while hitting the lower end of our guidance range for 2012 operational EBITDA. As you know, our business faced some headwinds in 2012. While some of these operating challenges will stay with us for much of 2013, we'll be dealing with them against the backdrop of accelerating service revenue and cash flow growth. If you take nothing away from our call today, let me emphasize 3 key points to summarize our view of the current situation: First, we expect our service revenue growth in 2013 will be measurably better than 2012. You'll also hear from both Tom and me that we expect the successful renewal of our U.S. government contract later this year, which, along with a few other plans we have, will lead to an even better 2014. Second, our long-term plan is still very much intact. What I mean by this is that barriers to entry for our business remain high, while the markets we compete in have low penetration and healthy growth rates. Our current network continues to perform exceptionally well and we're actually a bit ahead of schedule with our Iridium NEXT build. We just met with our distribution channel at our Annual Partners Conference in late January. They are very positive about the future of our combined businesses and continue to innovate around our products and services. And we're growing a largely recurring revenue business with diversity across key business lines. We believe that all of this together, along with the operating leverage that's inherent in our business, will consistently expand cash flow well into the future. And third, while we still have more work to do to fully deliver on Iridium's promise, we've retired a significant amount of risk associated with our industry and business in the 3 years since going public. We're a long-term bet that hasn't paid off yet, but from my perspective, I'm as comfortable with our growth prospects and potential as I've ever been. Looking back to when I joined Iridium in 2006, I knew success would take some time and we had a complicated game plan to execute. It was a much smaller company then with no firm plan or financing in place to build the next-generation constellation. We hadn't yet really entered the maritime broadband market, M2M was a fledgling sector and we were known primarily as a company that sold satellite handsets for emergency use. Iridium NEXT was just an artist's rendering of a next-generation satellite that looked good in our marketing presentation and hosted payloads was an untested business strategy. Much has changed in the last 6 years. Today, we're a $400 million company with a revenue profile that spans 6 business lines. We closed on a major credit facility in 2010 when our run rate cash flow was only $134 million. Today, our run rate cash flow has surpassed $200 million and continues to grow at a solid clip. The once-fledgling M2M market now represents 40% of our subscribers and 17% of our service revenue. We've already spent roughly $1 billion of the $3 billion we planned to spend on the Iridium NEXT project and it's no longer just designs and drawings. In fact, the development team is just months away from completing its first hand-built, full-scale satellite for testing. And as you know, Aireon has a very exciting hosted payload plan we've set into motion with a lot of upside. I appreciate that our business has a number of moving parts. I also understand that a long-term business model like ours, with a sizable capital investment cycle in in growing leverage can be difficult for some investors to digest. What gives me confidence is that we've hit all of our important milestones and are forcing through the short-term challenges that have gotten in our way. As I say to my Iridium colleagues, we're about halfway up the mountain, are maintaining the right trajectory and the peak is in sight, which we'll cross in a little more than 2 years. What I mean, of course, is that the end of our capital cycle is coming into view and we expect to be a much bigger company at that time. I believe that those who stick with us will have their patience rewarded through significant value creation. So having laid the groundwork, I'll update you on our network status and Iridium NEXT developments, the latest on our Aireon venture and progress with the U.S. government customer. Tom will then focus on the results and describe the underlying assumptions for our 2013 outlook and long-range guidance. So let me begin with our current network, which continues to service well, as evidenced by our voice and data traffic metrics. As a result of its unique architecture, flexibility and redundancy, we're able to reach peak performance by doing many different things to enhance the customer experience. For example, we've moved around our in-orbit spares and have colocated satellites. We've also updated our onboard satellite software to increase capacity and improve traffic routing. With a constellation of 56 satellites and 5 spares left, we remain confident that we'll smoothly transition to Iridium NEXT. As for our Iridium NEXT program, we're about halfway through this major initiative, with just under 2 years left before our first scheduled launch in early 2015. Most importantly, we're right on budget and now slightly ahead of schedule for the design and construction of the new satellites. Hardware and software is well underway, engineering models have been built and tested for all the key components. Our first launch has been pulled forward a bit by Thales Alenia and is now targeted for early February 2015, thanks to the strong progress they're making with the program. Of course, the timing can move around a little bit as it's impacted by many different variables, but you can understand why we feel good about the overall plan. One reason we're starting to focus on our first launch date is because the critical design review phase of the project is nearly complete and we'll soon be moving on to the segment development stage for the rest of 2013. Testing activities are continuing to validate design performance of all the key components such as the MMA or main mission antennae, which is really an incredible piece of engineering that enables the connection between the satellite and our customers, and the OBP or onboard processor, which is the super computer, if you will, that will run the new satellite. Our ground network is also evolving and is on track to meet first launch requirements. As you know, SpaceX continues to make steady progress as our primary launch services provider. Their next flight to the international space station is coming up soon, possibly even tomorrow. And their launch manifest over the next 2 years is pretty full. They've built an adaptable and resilient rocket and we'll be watching closely as they conduct missions for NASA and one of our industry peers, ORBCOMM, later this year. As I shared before, we also have a very capable alternate launch platform in Kosmotras. We plan to formally exercise our option soon for the first launch of their highly reliable Dnepr rocket. This lets us send up just 2 satellites in our first launch, which gives us the ability to thoroughly test the operation of our Iridium NEXT system before raising the bulk of the constellation with SpaceX in subsequent launches. It's a smarter strategy for in-orbit testing and it's provided us some additional cost savings. As long as we're bringing you up to speed on space-related topics, I'll jump to the status of our Aireon global aviation monitoring venture. Most importantly, we closed our formal agreement with our joint venture partner, Nav Canada, back in November and they've now made their first investment of $15 million. Nav Canada's total planned investment of $150 million will be made in multiple trenches as Aireon reaches critical commercial, financial and regulatory milestones. As the world's second largest air navigation service provider, and the largest provider of air traffic services for oceanic flights, Nav Canada is also expected to be Aireon's first customer. We plan to share the details of that agreement with you soon, so that you're able to begin evaluating the financial value of this new business to Iridium. As a reminder, the 3 sources of potential cash flow are: $200 million in onetime hosting fees we expect to receive between 2014 and 2017; recurrent service revenue from a long-term data contract we plan to have with Aireon once the system is operational; and the potential return on equity from being a substantial owner of what could be a very profitable enterprise. Our joint dialogue with other air traffic control agencies is moving ahead too, and Nav Canada continues to work closely with us on supporting technical developments for the system and coordinating regulatory action. The FAA has also allocated financial and technical resources to complete the first of 2 major steps in their formal assessment. As is the case with other government agencies, they're being challenged by near-term budget uncertainties, but we remain optimistic that they'll be a customer of Aireon. We continue to believe that Aireon will improve the reliability of air travel, save billions of dollars in fuel for the airlines and substantially reduce greenhouse gas emissions, and we're getting growing support from global airlines for implementing the system. Harris, our payload development partner for Aireon, is also moving along nicely, having successfully completed their preliminary design review late last year. The flexibility of the Harris design for the Aireon payload continues to service well. We still anticipate adding a complementary payload deal, which would be on top of the $200 million in hosting fees we expect to receive from the Aireon venture, while also representing additional ongoing data service revenue. We plan to have details on this opportunity for you soon. Before I kick it over to Tom, I wanted to wrap up by spending a few minutes on perhaps our most important strategic business deal this year, the renewal of our long-term services contract with the Department of Defense. The Defense spending cuts and troop drawdowns in Afghanistan have been our biggest headwind over the last 12 months. Yet our assessment of this situation with this important customer has not changed. We are following a solid plan to renew this agreement on win-win terms and have the right team in place to leverage the strategic nature of our relationship. There are a few reasons why I'm confident we'll get this done later in 2013. First, we provide a critical suite of communication services that can't be easily duplicated, for which there are few, if any, alternatives. U.S. government customers across the armed services and in key departments have a strong perception of Iridium. We directly support the military's most critical work, including special operations and expeditionary missions, friendly force tracking and emergency communications. Second, we provide them with critical capabilities now and they continue to invest with us to develop cutting-edge future capabilities. Today, we're seeing solid growth in regional netted communications in M2M products, while in the next few years, our portfolio will also include worldwide push-to-talk functionality and global data broadcast services. U.S. government also continues to spend with us on multiyear modernization plan for their dedicated gateway as demonstrated by a 5-year contract we signed in October that's worth up to $47 million. Third, we have the right team to ensure a successful outcome. We have an outstanding government advisory board and Board of Directors, many with past experience in government and military assignments, who understand first hand why we're such an integral part of the defense communications infrastructure. Our primary objective in this contract renewal cycle is to expand our value proposition with the Department of Defense, while also renewing the agreement in a way that puts us back on the path to service revenue growth in our government business. While there's always risk in finalizing a new contract, our past experience and momentum to date give us comfort that we'll close on a new agreement later this year. So on closing, let me bring it back to where I started our call today. I'm confident that our long-term plan is on track and 2013 will be a better year than 2012. And I believe 2014 will be an even better than 2013. I want to thank my colleagues at Iridium and our many partners and customers for their loyal -- loyalty, dedication and hard work this past year. I look forward to a strong execution and better momentum in 2013. With that, I'll turn it over to Tom for a more detailed financial review. Tom?
Thomas J. Fitzpatrick: Thanks, Matt, and good morning, everyone. We reported fourth quarter and full year 2012 results that fell just below our revised expectations for service revenue growth, but we're inside our guidance range for operating cash flow. Like Matt, I agree that we're working through these short-term headwinds and firmly believe that our long-term path to value creation is still in place. I'll first focus on our results and then wrap up by taking you through our -- both our 2013 financial guidance and long-term outlook. Iridium recorded fourth quarter total revenue of $92.3 million, representing a 3% decline from last year's comparable period, driven largely by a reduction in low-margin engineering and supported revenue. Operational EBITDA came in at $52.3 million, yielding growth of 18% in the prior year quarter. Our operational EBITDA margin was 57% for the fourth quarter, which was an expansion from 47% in the year-ago period. Fourth quarter net income was $16.7 million, nearly double the $8.4 million we posted for the year-ago quarter. Fourth quarter net income, again, benefited from a $5.8 million reduction in depreciation expense, due to an extension in the estimated useful life of our current satellite constellation. As we've noted on previous calls, this reduced level of depreciation expense in the fourth quarter will recur in future quarters through 2014. From an operating viewpoint, we reported commercial service revenue of $51.6 million in the fourth quarter, representing 2% growth over last year. We added 14,000 net commercial customers during the quarter, resulting in the 18% year-over-year increase in subscribers. These net additions were primarily in the M2M business. Commercial M2M data subscribers now represent 41% billable commercial subscribers, an increase from 35% during the year-ago period. It's important to understand how the commercial market trends we saw in the fourth quarter establish our jumping off point for giving 2013's guidance. 2 fourth quarter developments caused us to fall short of our 2012 service revenue growth guidance of approximately 6%. One of the 2 developments represents the accelerated timing of an impact we already anticipated, while the other was unexpected. First, we saw significant decrease in usage by non-U.S. military customers in Afghanistan, which accounted for roughly $1.4 million of our commercial service revenue underrun. We believe this was primarily driven by troop relocations from forward operating bases to centralized locations that have other communications alternatives. Our previous forecast anticipated these non-U.S. troop withdrawals in 2013 and 2014. So this represents an acceleration of an impact we'd already considered in our outlook. Second, we didn't hit the mark generating revenue from our Iridium OpenPort maritime broadband platform, which resulted in an approximately $1 million drag on our commercial service revenue. In large part, this was due to unexpected deactivations from a block of high ARPU units. Though we're pleased with our new customer activation rate, we've trimmed our expectations for OpenPort performance to include these very recent developments. As a reminder, Iridium OpenPort metrics are captured in our external financial statements in the commercial voice and data category. Turning now to our government business; during the fourth quarter, we recorded government service revenue of $15.2 million, down 5% from last year's comparable period. Government voice customers declined 3%, but we grew M2M data subscribers 36% over last year. We also grew Netted Iridium subscriber's 18% from the year-ago period, showing ongoing uptake of our beyond line of sight tactical radio service. We ended the period with a total of 51,000 billable subscribers, up 6% year-over-year, with M2M data subscribers now accounting for 29% of the installed base. Matt spent a fair bit of time on our strategic relationship with the Department of Defense and why we believe the successful contract outcome, despite the tough environment being faced by the defense industry. I'll just briefly add that their reliance on global, secure, low-latency communications is only expected to grow as our armed forces evolve to become more nimble, rapidly deployable units in the face of emerging threats. These changes line up well with our capabilities are -- and are one more reason why we believe a mutually beneficial deal gets done before the end of the year. Focusing next on equipment, which produced revenue of $22 million; we note that we met our full year objective for revenue and gross margin in this business line, which is encouraging because equipment unit sales yield future service revenue growth. For 2013, we expect a roughly similar impact to our consolidated financial results from equipment as we had in 2012. Moving now to our financial and operating outlook for 2013, which we issued for the first time this morning; we expect operational EBITDA between $215 million and $225 million for the full year 2013, which, at the midpoint of the guidance range, would be 7% growth when compared to the $206 million we achieved in 2012. On the same basis for the full year 2013, we project the following: total billable subscriber growth of between 15% and 20%, which will be largely driven by ongoing success in our M2M business, as well as opening up the Russian market. We expect total service revenue growth between 8% and 10% and the following assumptions underpin our 2013 service revenue guidance. While we're working diligently to secure an early contract renewal with the Department of Defense, our projections assume that we're not able to execute a new agreement until it comes due in late September. In consideration of this timing, we're planning for government service revenue to be down for the first 3 quarters of 2013 and for the full year. We forecast that commercial voice ARPU, which declined by more than $3 year-over-year in 2012, will be at least flat for the full year 2013. As we noted during our third quarter earnings call, we continue to expect lower overall usage for our voice and circuit-switched data services, primarily as a result of falling air time from maritime and non-U.S. military traffic in Afghanistan. In particular, we anticipate that non-U.S. military usage of voice and circuit-switched data services in Afghanistan, which represented approximately $8 million in commercial service revenue for 2012, will fall by about $6 million to $2 million in 2013. However, our recently implemented commercial access fee increase and a policy change to our prepaid card expiration terms will dominate these headwinds. We expect the access price increase for all commercial voice customers will lift our commercial service revenue by about $15 million this year. We also benefit -- we will also benefit from a policy change to our prepaid card expiration terms, allowing us to book approximately $6 million in deferred revenue by no later than the fourth quarter of 2013. We first addressed this price adjustment with you on last quarter's earnings call as an important step in maintaining our justified premium position in the market. The timing is right, as our competitors continue to struggle with coverage and product functionality issues, and it makes sense to more closely align our financial health with the access revenue that's tied to robust subscriber growth. Let me reinforce that taking all of these assumptions together supports our view that overall service revenue will grow by 8% to 10% in 2013, materially better than the 4% growth we recorded last year. As for our long-range guidance, we're updating the revised targets we shared with you last August, more specifically, we're now expecting average service revenue growth with 9% to 11% per year between 2013 and 2015. This outlook continues to be reasonable against the backdrop of our 2013 outlook for several reasons: First, while we don't expect to increase prices or change our prepaid policy again in 2014, and these benefits will fall away as drivers of year-over-year service revenue growth, we also don't expect to be fighting the declining revenue environment in our U.S. government market as our contract will have been successfully renewed. In fact, we expect a significant increase in 2014 government service revenue as a result of our new agreement and believe this important customer will also benefit from the expanded value they receive. Second, as I noted earlier, we believe usage declines across our circuit-switched voice and data services will moderate and be less of a limitation on commercial service revenue growth beginning in 2014. Third, we forecast accelerated growth in commercial M2M revenue, based on the increased productivity of the new partners we've signed up in the last 2 years, as well as the opportunities we're working in our sales funnel. In particular, we expect large customer wins in the first half of 2013 that will demonstrate our superiority in this fast-growing business line. Fourth, we anticipate improved Iridium OpenPort growth beginning in 2014, due to fewer deactivations and stronger gross sales. We'll also continue to benefit from our partnership with the VSAT players who are looking for a complementary service to fill in coverage gaps and support their high-speed services. And lastly, we expect that new products, such as global data broadcast, commercial push-to-talk and enhanced GPS services will begin meaningfully contributing to our top line in 2014 and 2015. As for the remaining elements of our long-range outlook, we see an operational EBITDA margin of approximately 60% in 2015, which continues to represent trajectory of strong operating leverage in our business. We expect negligible cash taxes from 2013 to approximately 2020, which hasn't changed since we first issued our guidance 2 years ago. We expect net leverage of approximately 5x at the end of 2015, which we view as quite manageable. We expect a rate of deleveraging that equates to a half to a full multiple of operational EBITDA per year beginning in 2016. And finally, a review of our capital structure and liquidity position; as of the end of the fourth quarter, we had drawn $751.8 million from the Coface facility, relating to payments we've made to Thales for their successful completion of contractual milestones for Iridium NEXT. And we've now invested nearly $1 billion in the last 3 years towards this approximately $3 billion project. We had a cash and cash equivalents balance of approximately $254.4 million, which includes the $96.5 million in net proceeds received from the convertible preferred offering in October. In wrapping up my thoughts, I'm also confident that the foundation of our long-term plan is intact and 2013 will see better financial performance. I'm proud of all that we've accomplished in the last few years with our colleagues, customers and partners and feel like the best is still ahead of us. With that, I'll turn things back to the operator for the Q&A portion of this morning's call.
Operator: [Operator Instructions] Our next question comes from Chris Quilty from Raymond James.
Chris Quilty - Raymond James & Associates, Inc., Research Division: I wanted to dial in on the commercial voice business. A lot of moving pieces there, some new competition in the market, lower usage and obviously, you've got a price increase coming in. Can you talk about, a, what sort of feedback you've gotten from channel partners in regarding the price increase and do you think that had any role in the actual voice subscriber decline you experienced in Q4?
Matthew J. Desch: Yes. I mean, you're right, there is a number of moving pieces in the voice business, but we have had a lot of discussions, of course, over the last couple of months with our partners, most recently at the -- at our Partners Conference a couple of weeks ago. And the general view is still very positive. The handset business, in general, is -- continues to feel quite solid. The -- any -- if we're losing any customers, they're far dominated by sort of the overall revenues coming from the overall base. And frankly, our partners aren't too worried about that because they see that we have premium value advantages with our coverage and our capabilities overall and the expanding portfolio that we have. And in fact, they're telling us that there still is really no real competitive impact. Sort of there is a low end that has emerged over the last couple of years and will probably be added to a bit by Globalstar here in the coming months and years. But really, that hasn't really changed sort of the dynamic in terms of our handset voice business and I think that continues to grow. There is the LBT to OpenPort, our transition behind the scenes, that's a different dynamic. There is elements related to troop drawdowns there and sort of on the commercial side. There is related to sort of the transition from LBT voice, single-channel voice to multichannel broadband capability, at sort of a lower pricing dynamic there. There's a number of things kind of moving around there, but it really isn't -- I don't really think the price increase has really been sort of a nonevent, if that was the primary focus of your question. There -- it's gone into implementation. It hasn't changed the numbers a lot it seems like, or the dynamic in terms of our expectations going forward. Do you agree, Tom? I mean is there any other -- yes?
Chris Quilty - Raymond James & Associates, Inc., Research Division: I was going to say, in Netted Iridium, how important do you think that is to the longer term growth plan and is there any way to pull that forward in terms of a commercial product?
Matthew J. Desch: Well, it's a complicated product because we want to do it right. We have a sophisticated capability today with the U.S. government that is a netted capability that is dramatically expanding with R&D to be a global push-to-talk capability for them. And we're building on top of that right now. On a commercial product, it isn't just a satellite product, but would be integrated with ground-based systems for public safety teams and with new partnerships and distribution and everything. So it's not just coming out with sort of a new handset that has a new capability. It's doing it right and coming out with a fully integrated, sophisticated solution that just takes some time. But I think it's important. It's not -- it's one more of the many things that we see adding on to our network going forward that will create a new revenue stream for us above and beyond the ones that we have today. So it's not really, obviously, in our plans in 2013 in any kind of significant way. But I mean, I think, as we get into 2014 and '15, I think that will add to our growth rates.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And final question; on the M2M business, the subscriber growth guidance here of 15% to 20% is perhaps a little lower than I would have expected. I think you had a large order that you thought was going to shift from '12 into '13 and that might actually boost the growth rate. Can you give us a sense of what you're seeing in the M2M business, either in terms of the hardware you're offering to market, the pricing terms, or the opportunities with large fleet customers and any pricing or competitive trends?
Matthew J. Desch: Yes, I mean, our competitive dynamics have not changed at all in the M2M market. If anything, we feel as strong about our position in that and our capability. And I think, as Tom alluded in his remarks, we're feeling very good about some things in the pipeline that might break soon and will be exciting to announce. So overall, competitively, nothing's really changed. I think what's sort of has changed our expectations in terms of just raw numbers there, is that we're getting at some very large partnerships right now who have expectations for a much bigger numbers. And we don't know how to really forecast them very well as to when they'll hit, because they tell us and often we've found that they are a bit optimistic and aggressive about when their development and certifications and customer adoptions get taken, and then we've -- we've -- in the past, we've sort of indicated what they've told us with some moderation. And have found that the numbers are getting bigger, that even despite the fact that we have so many partners they're big enough that they can actually sway by a couple points what the overall growth rate on subs is. So I don't think it's anything in terms of changes, in terms of our competitive position. It's just been sort of the nature as we're getting bigger and bigger in M2M. There's a lot more dynamics going on in terms of adoption rates, but we're not losing business. We're hearing that we're quite competitive. Our network is still, I think, highly valued by not just our partners but other people's partners who are looking at moving over to our system. So we feel really good going forward too, about the potential of that going forward.
Operator: Our next question comes from Brian Ruttenbur with CRT Capital.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: Let me start off with some simple bookkeeping things. CapEx in 2013, did you give that already?
Matthew J. Desch: We did. It was in our earnings press release.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: Okay, how much was that?
Matthew J. Desch: For 2012, the full year?
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: No, '13. '13.
Thomas J. Fitzpatrick: We didn't -- we don't guide. We give a general indication.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: Do you think it'll be similar to…
Thomas J. Fitzpatrick: Pardon me?
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: I'm sorry. Would it be similar to '12? I was just trying to figure out some…
Thomas J. Fitzpatrick: Similar to what we've already guided, or what we've already indicated which is in our investor presentation, Brian.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: Okay. Can you talk about R&D, D&A and SG&A expense just as a trend? I believe it's going to be going down as a dollar amount. And I just wanted to make sure -- well, the R&D and the SG&A, is that the right direction?
Thomas J. Fitzpatrick: Right. So R&D was down year-over-year because we've -- as we have said, in the fourth quarter of 2011, we -- it was high. So the fourth quarter of 2012 was down from the prior year but we expected that. As far as SG&A, sort of at $15 million, which is where it ran in the fourth quarter, that's low, sort of $2.5 million to $3 million low on lower incentives and employee-related expenses. And sales and marketing tends to be low in the fourth quarter. So you should think about SG&A as sort of $17.5 million, $18 million kind of run rate would be a good number for '13.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: Okay. And then D&A, I just wanted to get your perspective on it, should be relatively flat from fourth quarter, right? Going forward?
Thomas J. Fitzpatrick: That's right.
Matthew J. Desch: Yes.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: Okay, great. Okay, so those were the simple bookkeeping ones. The next question is on the DoD and the ARPU there. Do you expect -- first of all, number one, when is the timing? Is it there's a specific date that you have to negotiate the deal with the DoD by?
Matthew J. Desch: The current 5-year contract expires at the end of third quarter, so there has to be a new one in place at the beginning of fourth quarter.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: Okay. How does sequestration impact you on these negotiations? I know that there's a pull-out of Afghanistan, so that's something -- maybe usage impacts you, but how about sequestration? Have you talked -- obviously, you're probably talked to your DoD counterparts about that. What are they saying?
Matthew J. Desch: Yes, I mean, there's 2 parts to that. One, I don't think sequestration really has anything to do with the contract negotiations because the contract has to be in place and that has to be there. And really, in some ways, we're talking about improving the value and the dollars are pretty insignificant overall. So sequestration isn't really a factor there. I know there's a bigger question, sort of about is sequestration a problem? And obviously, in some ways, it has to be, though it's more about process right now because we have a lot of relationships and interactions, of course, there. And there's a lot of confusion across U.S. government agencies and the U.S. DoD and the others. And it sort of slows down things because they're -- because, frankly, not everyone really knows what the game plan is and how long it's going to be and what the operating environment is, and are they going to operate under a continuing resolution, or will there be a new budget. And all that changes things, but from a general perspective around our business, we're kind of below the radar screen on most of those things. Our general business with them is an operational element, focused mostly on deployed and operational units, which is not the target really primarily of either sequestration or budget cuts. So overall, there -- it has to have some effect, but it's not really a one that we can really point to and say what it really is. I think, by the way, Brian, we've said, I think it's reasonable to say we think we've factored that into our outlook and guidance everywhere for this year. We're assuming that the environment is going to stay sort of uncertain and that what we're doing and where we're doing it and stuff is sort of -- is at least known to us now, so.
Brian W. Ruttenbur - CRT Capital Group LLC, Research Division: Okay. And then on the commercial side, in your guidance, have you factored in flattish ARPUs?
Thomas J. Fitzpatrick: So for commercial voice, we've factored in flattish ARPUs, which is materially better than the performance that you saw in 2012. In 2012, you saw ARPUs on the commercial voice erode by about $3. And so the moving parts there are approximately $21 million worth of revenue increases from the combination of the $15 million price increase and a $6 million benefit from a change in the prepaid policy. So our commercial voice ARPUs are benefited by that. We expect the usage pressure that we saw in 2012 to continue. And in fact, in respect to the -- of the non-U.S. military forces in Afghanistan, we expect that it will accelerate a bit. But that is comfortably handled in our guidance range.
Operator: Our next question comes from Jim McIlree with Dominick and Dominick.
James Patrick McIlree - Dominick & Dominick LLC, Research Division: Tom, can you repeat again, what you -- I think you said you gave a total number for what you thought commercial service revenue would increase in 2013. If you did, can you repeat that please?
Thomas J. Fitzpatrick: No, we didn't, Jim. Our guidance is for 8% to 10% growth in recurring service revenue, which is the combination of government and commercial so we...
James Patrick McIlree - Dominick & Dominick LLC, Research Division: Okay. And so you were just talking about some components; the $15 million from the price increase, the $6 million prepaid offset by something else. Okay, I just missed sort of that.
Thomas J. Fitzpatrick: Right. So, I mean, just to be clear. Our 8% to 10% assumes the following: It assumes that the government will be down in each of the first 3 quarters and for the full year. It assumes that commercial voice, which -- ARPU, which had eroded by about $3 in 2012, will be at least flat. And that's on the back of total of $21 million worth of benefits to commercial voice, consisting of $15 million in price increase and $6 million in a prepaid policy change benefit, offset by somewhat increased headwinds in respect of non-U.S. military withdrawals in Afghanistan. And you net that out, and you're squarely in the 8% to 10% range.
James Patrick McIlree - Dominick & Dominick LLC, Research Division: Fantastic. And then this OpenPort drag that you experienced for the quarter, can you explain a little bit more of what's happening there and whether or not that drag is going to continue into this year?
Matthew J. Desch: Yes. I mean, OpenPort as you know, has grown to be a solid contributor to our results. It's roughly about 10% of our commercial service revenues now and I think it's going to expand over time in the future. We still think that our overall revenues there will double over the next couple of years. And as we can -- as we -- as we're a very solid competitor, I think overall in the value segment of that space. And I think it'll even improve as we get to NEXT. But OpenPort, specifically, has -- in the fourth quarter, that was primarily, I think, and I think Tom sort of alluded to this, we had a block of deactivations from a specific fleet that -- well, actually it's from a block of ships anyway that we weren't really expecting at the time. It wasn't factored into our plans. So overall, our deactivations were up a bit last year than they had been in the past. Our activations are also up. But the net activations were a little lower than we were expecting. And the deactivations that we got happened to be some high ARPU ships, so it affected the results overall. That effect, going into 2013, well, there's still -- I should guess there's a bit of a drag from that though, they'll continue to be net positive activations overall on OpenPort, so it'll continue to grow as a service anyway for us. But that's all factored into our guidance here.
James Patrick McIlree - Dominick & Dominick LLC, Research Division: I guess my real question then is was the deactivation by that high ARPU customer or ships something indicative about the industry or your product offering that needs to change?
Matthew J. Desch: I don't think so. Obviously, we have a -- we compete strongly with our primary and almost sole competitor in that space. And we go back and forth trying to take business from each other and go after new business entirely. And we have a slightly different value proposition. So a lot of times, we don't overlap completely but sometimes we do and this is one that they were successful taking away. Overall, OpenPort is -- as I said, it's an important part of our future. There's a lot we're doing in that area that I think will enhance and expand our value proposition there over time. But for now, I don't think it says anything overall. The competitive dynamics, in general, in the maritime industry haven't changed a lot. The -- I think if I learned anything from, again, interacting so closely with the maritime partners, is that they are really want a alternative to Inmarsat. As you know, Inmarsat has made a lot of changes over the last few years as they've gone increasingly direct and more aggressively around in terms of raising prices and changing a number of the dynamics. And so there's a lot of encouragement to deploy OpenPort in our products in the maritime space. And so we haven't completely fully realized that, but I think over time, there's upside there.
Operator: Our next question comes from Amy Yong with Macquarie.
Andrew DeGasperi - Macquarie Research: This is Andrew for Amy. Just had a question, a simple bookkeeping question on your diluted share count for the end of 4Q. And also, could you give us some color on the Russian opportunity and what the economics are?
Matthew J. Desch: Yes. Well, I'll do the latter one while we're looking up the share count number, while Tom gets that, but the -- yes, Russia is fully licensed now. And we're building the gateway there. I'd say it was probably one of the bright spots of many this year, as we see a lot of pent up demand in Russia. It's a solid business for us today. I think I've mentioned before that we see that to be a $70 million market in a couple of years that we'll get 40% of, which would be a significant expansion to where we are today. So I'd say it's a market that we are quite enthusiastic about. I think it'll be one of our faster growing areas this year and next as some of this pent up demand from the government and maritime and aviation and a lot of other, including handheld, starts to take shape now that we're licensed and active. In fact, we're taking on the co-Russian-dialed customers now for the first time and that will expand here dramatically in the second quarter. So Russia's quite exciting to us. So, Tom, did you get a number yet?
Thomas J. Fitzpatrick: We -- I mean, was there a specific question about the fully diluted count or...
Andrew DeGasperi - Macquarie Research: I didn't find it in the press release. I was wondering if you had one post the warrants.
Matthew J. Desch: It's right about 75 million.
Thomas J. Fitzpatrick: Just what's the number? Is the question what's the number?
Matthew J. Desch: What's the number?
Thomas J. Fitzpatrick: It's about 78 million, up from 76 million, Rich?
Matthew J. Desch: Yes.
Amy Yong - Macquarie Research: Okay. And just one more question. I know you talked about sequestration and the impact on new businesses in general. But as far as Aireon is concerned, I mean, the FAA's doing the study, obviously, to potentially be a partner. Do you think that will have an impact at all?
Matthew J. Desch: We don't think so. I mean, not long term because the effect for the FAA as a customer of Aireon is really a couple of year of process. And probably always there'll be impacts of sequestration. Sequestration somehow will turn into new budgets for the FAA here over the coming months or year. And frankly, we think we're really part of that right now. We're not a really a big number to them and, in fact, offer some cost savings in some other areas. So our general expectation's that long term, it doesn't impact our plans for them being a customer of Aireon. Obviously, it does impact short term. I mean, there's a lot of activity going on with the FAA. And they're busy right now with planning for how to manage short-term budget cuts and powers and things like that. So sometimes, it affects meetings we're having, but we see no sort of change in the interest level or activity level of what they're doing to evaluate Aireon as an opportunity that they want to be part of for the long term.
Operator: Our next question comes from James Breen with William Blair.
James D. Breen - William Blair & Company L.L.C., Research Division: One, just can you just talk about sort of the customer reaction on the price increases that you implemented? Talk about sort of the total impact of it; wondering if you saw anything in terms of additional churn and so forth. And then secondly, just on the modeling side. Any seasonality you expect as we go from fourth quarter to first quarter on the expense side?
Matthew J. Desch: Okay, Tom can take the second one. The first one, you might have missed, Jim, because I know you're probably covering a couple of calls here, that got asked earlier, and I really haven't seen a lot of effect. There's got to be -- I mean I'm sure there's a little bit of churn. There's probably a slightly higher deactivation rate early on, but there's still continuing good activations as well. And so net-net, our partners are telling us that it's not a big change, really in terms of the business or their outlook for the business as we -- as they look ahead for 2013. And we've kind of seen it in terms of their ordering and -- of handsets for the year. They're signing up for sort of volume commitments for handsets and what they see happening overall in the market hasn't really changed a lot from our fairly large partner base. So it's been a pretty non-effect. Some part of that is, remember, when price goes up, and in this case, a lot of times their margins ultimately go up a little bit, too. And so they don't -- our partners don't mind it too much. It's the end customers who obviously don't see it. But it's fairly minor for most them. And again, a lot of people using our products are using it in places they don't have really good alternatives. And this is really the best choice that they have. And there -- they find the value of the products still to be very good. So we haven't had a lot of even direct feedback from the market that there's any issue there.
Thomas J. Fitzpatrick: Hey, I wouldn't say -- hi, Jim, I wouldn't really say seasonality on expenses, but as I said before, the SG&A number of $15 million in the fourth quarter is low. You should think about that with an $18 million handle on it, something like that. And it's low just because our incentives are low. And the fourth quarter is just low because employee expenses tend to be more front-end loaded, the FICA employer tax, et cetera actually tend to be front ended. So you'll see that move up sequentially.
Operator: [Operator Instructions] Our next question comes from Jeffrey Matthews with RAM Partners.
Jeffrey Matthews - RAM Partners, L.P.: Has Nav Can signed the contracts? Is that all done?
Matthew J. Desch: They have -- you mean they have signed the contract, if you will, or they have signed the agreement and are part of Aireon now. So they're actually an investor and partner in Aireon. They have not signed the contract, if you will, for -- to be a customer of Aireon, though. That is, I can tell you, is mostly negotiated at this point and agreed. We just have to finalize it and announce that eventually here. So we're very close to being able to talk about that publicly.
Jeffrey Matthews - RAM Partners, L.P.: Okay. And then on the Inmarsat, an OpenPort question about losing some of the business back to them. Is -- I think the -- or last year or 2, the idea was that Inmarsat's prices had just got out of line and you were able to take share. Have they changed their ammo?
Thomas J. Fitzpatrick: Well, it's a pretty dynamic competitive environment. They will raise their prices. They traditionally -- what you've heard is that they've raised their prices on their existing base. Those particularly who have long-term contracts are smaller customers and kind of can't get away from -- can't get away from paying their increase, while they've gotten even more aggressive on new customers and going after existing customers. And they will make very big discounts in terms of their hardware prices and others to try to avoid losing business to us, or the VSAT guys in other areas. So it's a dynamic environment. I want to reiterate again, I mean, the fourth quarter was -- that specific block of customers was not completely expected at that point, but it's a dynamic market and we're expecting to add quite a few OpenPort, net new OpenPort customers in 2013 and continue to believe that the competitive environment is positive for us there because our customers really want us to be a good alternative. We don't have the exact same capabilities. They're able to do higher speeds and are able to move more data, if you will, than we can. But then on the other hand, our -- we have more voice lines and capabilities there and our coverage is better. So it's a different dynamic, but we think we'll do well. It's just, now and then, going to be some changes in terms of specific customers.
Jeffrey Matthews - RAM Partners, L.P.: Got it. And then final question. Matt, you talked about -- when you talk about machine-to-machine, you're talking about bigger customers -- bigger potential customers who get very optimistic and then the reality is it takes more time. I'm just wondering without naming names, could you just give an example of a very big potential customer and the kind of thing they want to do with it?
Matthew J. Desch: Yes. I mean, I don't want to foreshadow anything too closely there because I think I'd rather wait to announce those announcements at the time. But when I'm talking about larger partners, you've seen that we've signed up some partners over the last years whose expectations -- whose average expectation go to tens of thousands of devices per year instead of single thousands, which we had been working in before. And that's exciting. A lot of times the ARPU is a little bit lower because they might be in sort of more of the heavier machinery, or in some lower-end asset tracking, or that kind of business. And so we're enthusiastic about the potential that they have. And then you realize that those are larger opportunities because there's more complexity involved in getting their products adapted to fit their market base, to getting larger customers to sign agreements or whatever it might be. So there's a couple of ones we know about that we're been working. I said we've not lost any business that we're really aware of at this point to anybody else. It's more about winning business at this point. But it's more about how long it takes for that to come off and to become business. And I think you'll see us, we're going to try to be a little bit more conservative if we can going forward, or at least appropriately aligned anyway, in terms of what our expectation's going to be as we've now learned what that -- those larger partners and opportunities really look like, as opposed to what we knew about them being fairly new in the M2M business a couple of years ago.
Operator: Our next question comes from Chris Quilty with Raymond James.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Those large M2M opportunities, are those all traditional, commercial, industrial-type customers? Or you got anything in there that's OEM or consumer?
Matthew J. Desch: Well, most of them I would put in the industrial category, I mean, or commercial-industrial category that I think are bigger, in terms of knowing that you probably recognize names of companies and businesses that are moving more aggressively. But I think overall, the M2M market, in general, is just expanding dramatically. And so you're going to see lots more companies and -- that you'd recognize, get involved in dramatically expanding their use of the technology, in either the terrestrial or the satellite side. And we're obviously focused on being the best and primary satellite solution in the overall growing M2M space. But yes, I mean, there are additional consumer opportunities. I think more products will come on the space. New and improved products will come on the space in the consumer side, which will be even better value propositions, particularly as people implement smaller and more cost-effective devices that we have. So I think that there'll be more opportunities in that space still.
Chris Quilty - Raymond James & Associates, Inc., Research Division: An important technical question here, if you've got large customers looking to roll tens of thousands of units, I know you always talk about Iridium NEXT being backward compatible. But if customers choose to roll out a solution, can they expect that an M2M device sold today can take full advantage of some of the increased capabilities that will come with the NEXT constellation?
Matthew J. Desch: That's not part of our value proposition today. So we don't sell or we're not growing as a result of that aspect. I'd say the primary effect is all those partners and end users are excited about the fact that there is absolutely no issue with -- that NEXT will be a seamless transition for them. But I would say that we are doing some work right now. That before NEXT is completely launched, I would expect that we will be introducing new and improved, if you will, devices and services to our customers that can be ready to take advantage of NEXT capabilities when they're ready. In other words, you don't have to wait for the network to be completely finished in 2017 to buy a product that could take advantage of that new service. Our goal will be to try to pre-load capabilities and this is not just in the M2M side, but we'd see this in the handheld and broadband space as well, that devices that we'd be shipping, say in 2015, 2016, maybe even earlier would have future capabilities kind of loaded in them that just have to be activated with the new network, so -- or just uploaded, if you will, via -- simply via software somehow.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And a question for Tom, what specific factors led you in the long-term forecast to step up your -- I guess, your long-term leverage ratio from a range of 4.5x to 5x, to 5x?
Thomas J. Fitzpatrick: Well, the developments in OpenPort, as we said, caused us to rethink our prospects there, which, as Matt said, we still think that that's going to be a growing product for us. But the fact of the matter is, is the most recent developments lowered our opening base in 2012 in terms of service revenues. '13 will be lower. And so when you just trickle that through if you -- before, we were out there with a range of 4x to 5x, which at the midpoint is 4.5x, certainly, the OpenPort developments push us closer to 5x and we thought it was sort of more transparent to move to that level.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Got you. Are you still expecting and is there still time for additional hosted payload?
Matthew J. Desch: Yes, as I mentioned, there is. Really it's not going to be a brand-new, never heard before. It's really going to be primarily through the platform that we already have there and so all the efforts have been around fully exploiting the Harris-Aireon platform to its full extent. And so our goal is to -- again, I know I promised that any day now in the past and it is still any day, it can't be much longer, frankly, but we still have a little more time and you'll hear about that as soon as we can.
Chris Quilty - Raymond James & Associates, Inc., Research Division: And any update on some of the aviation opportunities?
Matthew J. Desch: That continues to be very positive market. I mean, the overall dynamics as I even saw when we were at the Partners Conference is that our avionics partners are quite enthusiastic about implementing Iridium for fans of Iridium on large long-haul aircraft, which was a new market for us. That continues to expand, there seems to be quite a number of opportunities being explored there, that have good ARPUs and great, great expectations. There's still a lot of tracking applications. There are -- some of our partners are going after the GA area a little more aggressively. And then Aireon is sort of an interesting dialogue to have with a lot of our partners because there is some synergies a little bit between sort of Aireon long term and some of the satellite data link stuff long term, so we're excited about that. But I don't think I have anything necessarily new to report to you about other than it still continues to be a positive dynamic for us.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay and final question, global data broadcast. Is that specifically tied to any government rollout? Or can it be done independently on the consumer side -- or commercial side, excuse me? And can you give us a sense of what the revenue model on that might look like?
Matthew J. Desch: Yes, so what -- I know we haven't really kind of necessarily formally announced this, but I think we've talked about global data broadcast a number of times. But that's a new capability that we're implementing in 2013. Actually, in the second quarter, it kind of becomes active and we do have a customer OR 2 already on it. And we're talking to people about using the technology to deploy, going forward. It applies to both commercial and government applications. And what it really does is it uses sort of our high-powered paging channels to broadcast data over regions. It can be as smally allocated by the end customer, at say, a specific city or as broad as broadcasting it to the whole world at the same time in every part of the planet. And then devices, which can even be lower cost than the ones that we're shipping today with our M2M business, can actually translate that business over multiple, as many as millions of devices potentially if you'd get that signal. So it changes the pricing model from sort of a one-to-one. We get x amount to cents for x amount of kilobytes to we'll charge 1 price to a customer to broadcast something over whatever area that they like, it obviously varies by price. And they can have as many devices as they want to. So from a value perspective to the customer, it can be really, really attractive. And it can really open up a lot of new applications that we don't have on our network today. And I'd say one of the interesting parts of it, this capability doesn't exist in any other -- realistically, in this way with any other satellite vendor, or, frankly, any other terrestrial vendor. So one of the interesting parts of this has been, just even as we talk to potential users of the capability, they don't have anything to compare it to. So there's just a little longer sales cycle. So I think it's going to take some time before it really ramps up, but we're having some interesting discussions today on a number of applications that I think will pay off in the 2014 and beyond range.
Chris Quilty - Raymond James & Associates, Inc., Research Division: So no contribution in '13?
Matthew J. Desch: I don't think there's going to be a lot of contribution. I mean, our plans don't really -- don't really plan for that right now.
Operator: I'm not showing any further questions at this time. I'd like to return the conference back over to our host for closing remarks.
Matthew J. Desch: Well, thanks, everybody, for joining us. Looking forward to seeing you in coming quarterly earnings calls and thanks for your participation today.
Operator: Ladies and gentlemen, this does conclude today's presentation. You may now disconnect. And have a wonderful day.